Ana Virgínia: Good morning, ladies and gentlemen, and thank you for joining this call. As a reminder, the set of materials, including the release and a slide presentation are available in our corporate website. In the context of ongoing uncertainty on the evolution of the pandemic and its effects, we started 2021 with clear strategic priorities for our banners. There was no hesitation in pursuing growth while working on efficiency to protect profitability. All companies delivered well on both priorities despite a strong impact from currency devaluation. Sales grew 5.7% at constant exchange rates, a growth of 1.5% in euro terms; and EBITDA increased ahead of sales, posting a growth of 8.9% and at constant exchange rates, a 4% increase in euro terms. We acknowledge that this first quarter is difficult to compare due to calendar effects that include part of the Easter impact in Q1 '21, and the COVID-19 disruption from March 2020. Notwithstanding, this was indeed a promising start to the year. The strength of the numbers is undeniable, particularly when excluding the material foreign exchange negative impact. Following the strong operational results and considering a lower impact from the exchange losses on capitalized leases, net earnings grew by 66.3% to reach EUR58 million. Also, the strength of the balance sheet by the end of March is well reflected in a net cash position of EUR491 million. The year started and the wave of COVID-19 new infections, particularly in Portugal and Poland, that went through quite dramatic situations, placing huge pressure on the respective health care systems. Both countries fought hard to overcome the very difficult circumstances, and these [months] were certainly the hardest since the beginning of the public health crisis. Business-wise, our teams are today better prepared to adjust to the changes imposed by the confinement measures and that is reflected in the performance. In terms of consumption, Poland, as expected, is the country where we continue to see a more resilient consumer demand. Polish consumers continue to prefer shopping in proximity and to react to improvements in the food offer, although remaining extremely price-sensitive. Food inflation in the country slowed to 0.6% in Q1 from 1.7% in Q4 '20, driven by strong deflation in products such as meat that registered high inflation 1 year ago. The retail sales tax, which has been enforced since January was cleared by the European court who ruled that it does not infringe European Union law. The confinement measures were first eased and then quickly reinforced during the quarter, and on average, the operational conditions for food retailers were similar to the ones in Q4 '20. In Portugal, the consumer environment remains weak as the economy continues to suffer from the absence of tourists. Food inflation decelerated from 2% in Q4 '20 to 0.9% in Q1 '21. A new lockdown period began on the 15th of January. Food retailers were able to remain open but limits were imposed to the opening hours and to the sales of alcoholic beverages and nonfood products. Also, the communication to promote commercial campaigns was not allowed. In Colombia, The economic context continues to be fragile following the long-lasting and strict lockdown in 2020. In Q1, the country has a more normalized environment with on and off restrictions depending on the number of infections in certain regions. From mid-March, more regions implemented confinement measures that nevertheless, over the period did not impact retail operations in a material way. It should be mentioned that in April, with infections on the rise in Colombia, the restrictions are becoming stricter and more frequent. Looking now at the P&L. There are a couple of notes I would like to share with you. The gross profit margin was 21.5%, down from the 22.1% registered in Q1 '20, reflecting mixed effects. On the one hand, we saw in Portugal, the benefits of a better margin mix, particularly over the weeks lapping the outbreak of the pandemic in 2020 when stockpiling drove lower margin mix. But on the other hand, in Poland, and despite the positive impact from accretive sales mix management and inventory losses reduction, there was the pressure from the retail tax implementation. Operating costs whose [Indiscernible] on sales was at 14.8%, down from the 15.5% registered in Q1 '20 reflected the good delivery of the efficiency programs being put in place in all companies, and also lower additional costs to manage on this pandemic. In this respects, I would like to remind you that some of the costs incurred as a result of COVID-19 are now inherent in renegotiated contracts and are, therefore, impossible to isolate. That said, the direct costs we can identify were at around EUR5 million in Q1 '21 versus EUR15.5 million in Q1 '20 when procurement conditions were extremely difficult and when we pay the special bonus in Poland. Net financial costs were EUR45 million versus EUR63 million in the same period last year. These costs include losses of EUR6 million related to value adjustments in the capitalization of operational leases in Poland, denominated in euros that in the same period of 2020 were minus EUR21 million. All in all, following strong operating performance and lower financials, mainly due to this foreign exchange adjustment imposed by IFRS 16, net profit attributable to Jerónimo Martins grew 66.3% to reach EUR58 million. As anticipated, due to the seasonality of the business, cash flow generated in Q1 '21 was negative in EUR21 million. The better performance versus Q1 '20 was driven by stronger EBITDA and lower CapEx payments in the first quarter. The strength of the balance sheet is noticeable. Allow me to remind you that the dividends approved in the amount of EUR130 million will be paid on the 16th of May. Moving now into the detail of the operating performance, starting with sales. Despite impacted in euros by the devaluation of the zloty and of the Colombian peso, top line performance was robust with a growth of 5.7% at constant exchange rates. Group like-for-like grew by 3.2%. The delivery was mainly driven by a strong Biedronka that maintained a sound top line momentum while crafting its Easter campaigns to successfully capture the opportunity of the festive season. The performance of Pingo Doce and Ara reflected tough comparables. In Biedronka, sales increased by 9.2% in zloty and 3.9% in euros to EUR3.4 billion. The banner maintained strong promotional dynamics, which combined with the continuously improved offer drove like-for-like growth of 6.5%, including negative basket inflation of 1.3% and an estimated Easter benefit of at least 1.5 percentage points. A brief comment here on the confinement measures, which despite the negative impact over impulse buying due to the lower circulation of people, offered opportunities to food retailers as with schools and restaurants closed more people prepared meals at home. In line with the investment plan for the year, Biedronka opened 21 new stores, 15 net additions and renewed 79 locations. HeBe sales declined 6.3% in local currency and 10.9% in euros. Like-for-like was flattish. Excluding the Pharma business, which was discontinued in Q3 '20 sales increased 5.4%. E-commerce continues to gain momentum and helped to limit the impact of confinement measures on store sales. Pingo Doce sales, excluding the negative fuel performance, were up by 0.3%. The banner sales progression in January and February continued to be challenged by the strong beginning of 2020. In March, performance was positive, reflecting the strength of the value proposition and a more benign basis against March 2020. The banner opened 2 stores and remodeled 5 locations in the first months of the year. Recheio sales were down by 19%, severely hurt by the closure of hotels, restaurants and coffee shops in Q1. Despite the growth of 5.9% registered in the traditional retail segment, the company's performance was pressured by HoReCa's decline. In Colombia, Ara continued to perform well in a context that remains marked by the economic impacts of the pandemic. Sales in local currency grew 10.5%. In euro terms, sales increased by 0.6%. The like-for-like was at 3.7% despite the strong comparison base. In Q1, Ara opened 26 stores, a good progression on the execution of the investment program designed for the year. Standing at EUR322 million, group EBITDA grew 4% over Q1 '20. At constant exchange rates, EBITDA increased 8.9%. This sound performance reflects the strong sales growth good delivery from the efficiency programs ran in all companies and lower COVID-19-related costs. EBITDA margin for the group increased from 6.6% and to 6.7% following the good work done in the three countries. Biedronka followed its detailed plan, and the teams worked hard in all fronts, sales dynamics, margin mix and cost efficiency to contain the impacts of the retail tax over its profitability. We saw good contribution from all these fronts, and it is never too much to remember that in this business with costs under control, sales growth is always the best way to protect profitability. Lower COVID-19 costs versus the same period last year also helped. In Portugal and despite the pressure over Recheio's EBITDA margin, due to the negative top line, Pingo Doce EBITDA margin benefited from cost efficiencies and from a better margin mix when compared with March 2020. The first quarter of the year is difficult to compare, but signs are positive. Sales delivery reflected the strength of our competitive positions. We are still operating in challenging conditions due to the pandemic. Nonetheless, we now have a better understanding of how to adjust and activate the operational flexibility to do it in an efficient way. Also, the renewed focus on efficiency is producing results in all banners. All in all, we are encouraged by the performance and confidence in our capacity to deliver profitable growth in 2021. We confirm the outlook as disclosed in our 2020 full year results presentation. Thank you for your attention. Operator, I am now ready to take questions.
Operator: We are taking our first question from the line of Rob Joyce at Goldman Sachs.
Rob Joyce: I've got three. So thanks very much for the color on the gross margin. I just wonder if you could give us a bit of an idea on what the gross margin impact was specifically in Poland. Should we assume it was higher than -- or lower, in fact, more negative than the group number of negative 58 bps, given the offsets you mentioned in Portugal? Or do you want me to ask all three? I'll go do two more then.
Ana Virgínia: It's up to you.
Rob Joyce: No, can you help on that one because I think [Indiscernible] the next two questions.
Ana Virgínia: On the gross margins, as you know, we don't disclose it by business area. Nonetheless, I can tell you that all business areas improved their gross margin. So basically, of course, Poland's [ways] on gross margins is the highest, which means that, of course, that the gross margin was pressured because it is where we account for the retail tax. So in fact, all businesses, in Colombia and Portugal had a better gross margins and Poland was the one that was pressured by the retail tax.
Rob Joyce: But is it fair to think that the impact, the pressure in Poland will be more than that 58 basis points I guess, given those offsets if the others are up, Poland should be down the more.
Ana Virgínia: I think it's a reasonable assumption, yes.
Rob Joyce: And then looking in terms of that first quarter at the EBITDA level, I think some of the concern is that, that was against a comp where the margin was down 50 basis points in the first quarter last year. Looking at the year ahead, do you still feel that flat EBITDA margins in Poland are achievable in 2021 given the tougher comps to come? And should we expect a bigger decline in that second quarter margin given the comp is harder? And then finally, I'll just give you the third question. Clearly, in Poland, you've made some big operating cost reductions to offset that gross margin pressure. Do you consider those longer term? Are these structural cost reductions that we should think about longer term?
Ana Virgínia: So at EBITDA level, of course, the teams had to work hard and they really prepared for the -- entering into force of the retail tax. But we have to acknowledge that the behavior of sales and the big growth in sales really helped to dilute the effects of the retail tax. This being said, we always said that the stable margins would be possible, but that really depends not only on the company, but on the reactions at the top line. In terms of the company, all the measures that were taken and the initiatives at cost level are structural. So we are talking about really improvements in the supply chain. All the forecasting and replenishment, automations, et cetera. These are measures, the self-checkout, are measures that we consider structural, and they will not be just impacting the first quarter. They will also impact the other quarters because this was done throughout the year. And of course, not only in Poland but also in Colombia and in Portugal, the effects of these cost control initiatives and this increase in efficiency of the operations will translate also in the remaining quarters. Because as you can imagine, the outbreak of the pandemic oblige the operations, really, this caused disruptions that probably were not felt by the consumer, but we're very hard on the operations. These introduced a lot of complexity in the operations that are now really better prepared to cope with all these adjustments from the curfews in Colombia to the different demanding and consumer behavior throughout the different lockdowns or the different measures of the pandemic. And that will help also throughout the year. So this being said, we think that stable margin is possible at the group and at Biedronka, but it will really also depend a lot, considering all the pressure from the retail tax, it will depend a lot on the sales progressions. And of course, we trust the company is doing all its best, of course, to retain and to have the consumer preference. But it will be mainly the top line that will dictate the pressure on margin or not.
Rob Joyce: And given the sort of Q1 as your toughest comp, is there anything you see out there that makes you expect the sales growth to slow down versus the first quarter? Anything material headwinds?
Ana Virgínia: At this point, if we are talking about Poland, of course, we have a strong comp, but we also know that the company is crafting and preparing all their initiatives to make sure that the consumer continues to prefer it. Of course, when we compare the [products] with Q1, and this is quite amplified by the fact that you also have the Easter impact although this was partly offset by the deflation. I think that's also the comparison versus last year may help slightly the fact that there was a strong deflation in this quarter, but nevertheless. So I think that from the consumer point of view, it's not a headwind, but of course, we have to count that we are not alone in the market, and we will make sure that the company stays the most competitive and the one that provides to the consumers, not only the best offer, but the best prices. And that, of course, may put some pressure again on our margin.
Operator: We are taking the next question from the line of James Grzinic at Jefferies.
James Grzinic: I had a couple. I guess the first one is around Colombian gross margin. You reset prices, I think back in 2019, between the end of Q1 and the start of Q2. I was just wondering, have you had to sharpen the price proposition since then at all? Or have you found that the new level has consistently been competitive enough for you when mobility recovered to really drive market share? That would be the first question.
Ana Virgínia: James, thank you for your questions. So on Colombia, the company is making sure that although having pressure from even inflation in the country. There is food inflation. But I can tell you that the prices in Colombia are the most competitive in the market. And this was really almost something that the company really wanted to assure not to disappoint the Colombian consumer and make sure that when the economy recover, the consumer knows exactly where they can get their value when they buy food. So basically, what we make sure is that we stay the most competitive in the market. And so in terms of prices, currently and comparing with all our other players, we are, in fact, the most competitive. Nonetheless, of course, a different scale from the business and really the best that we are doing and the opportunity that we are creating with our suppliers also allow us to craft the way that we put the prices in a way that gross margin is improving. And that's what happened in Colombia versus last year.
James Grzinic: And I guess, a follow-up from Rob's questions on Poland. Where is pricing a relative pricing position now in Poland? I mean we had almost 4 months of the tax being charged. What are you seeing in terms of relative price action out there in the market?
Ana Virgínia: Well, as you know, overall, food inflation is below 1% in Poland. Of course, this is also influenced by some products prices from last year, particularly meat, as I referred. Nonetheless, at this point, we cannot say that we are seeing price spike in Poland. I would imagine that some players will have to probably increase some of the prices. Nonetheless, in the case of Biedronka, what we make sure is that our prices stay the most competitive in the market. So we will make sure that we stay exactly with the same difference in terms of prices to our main competitors.
Operator: We are taking our next question from the line of Xavier Le Mené at Bank of America.
Xavier Le Mené: Two, if I may. The first one, you talked a lot about the efficiency and the kind of cost savings that you will be able to roll out in the coming quarters. But any way you can quantify them or give us a sense of how big this efficiency were in the first quarter that would be quite helpful. And the second one is just I know it's difficult for you, but can you give us a sense of what was the Easter impact in Q1, especially [on sales] and in Portugal more particularly?
Ana Virgínia: So in terms of the costs, what I can tell you, it's very difficult, of course, to really isolate all this impact because it's not easy to measure, as you can imagine. All the complexity that was brought and the extra cost that was brought last year with the outbreak of the pandemic. What we know really is that, of course, if you consider just the additional costs from the COVID-19, we have a benign comparison this quarter. I wouldn't say that this will probably happen in the next quarters. But as I said, all the businesses, and we are talking about the restructuring in Colombia and the optimization of costs that they did and all the other initiatives to really get out more efficiency either in Portugal, either in Poland, we think that they will compensate for that in the next quarters at the cost levels because even in the second quarter, of course, the level of cost from the operational point of view with all the changes in the pandemic and all the complexity brought by the different restrictions adjustments, of course, will be much better dealt now with our operations than previously. On the Easter impact, as I said, we believe it is higher in Poland, particularly where Easter is really strong and the week before Easter was already in March. We think that we are talking about an impact in sales that can be between 1.5% and 2%.
Operator: We are now taking our next question from the line of José Rito at Caixabank.
José Rito: So my first question on the flat margin in Poland and the reference that is dependent on sales. Should we assume that Biedronka will [neither] like-for-like in line with Q1 to maintain flat margin or the gross margin decline we saw in Q1 could eventually fade over the coming quarters and even with the lower like-for-like margins could remain flat. And also related to this, are all the cost efficiencies already rolled out. Eventually, we could see higher cost efficiencies in the future. And even with the lower like-to-like margins will remain right. So this will be my first question. I'm not sure if you want to answer this.
Ana Virgínia: So on flat margin, I don't think that we will be talking about the same level of like-for-like. I think that the way that we will adjust and incorporate, of course, the retail tax will then also be different because we have been preparing and this is something that we knew from three years, or more than three years ago that it would happen. So I wouldn't say and I wouldn't make much comments on the fact that we would need a 6.5% like-for-like. I think this is really influenced also by the base and by the Easter effect. So there is a lot of moving parts that can influence this like-for-like. And so this being said, What will depend, of course, and I said the most important will be sales because of the operational leverage. Of course, the rest will also depend on the way that we test our promotions to really have a better margin mix. And the other one is we think that the cost efficiencies are not totally reflected just on the first quarter. As I said already to Rob and even to James and Xavier, I think that our cost efficiencies will be seen throughout the year. And this, of course, will help to mitigate and make it possible, although what I say is that, of course, it will depend really on the reaction and how strong is the dilution. But nevertheless, we think it's still possible to accommodate But it's going to demand a lot from the company. And of course, because it will depend on the company to really maintain the preference and continue to guarantee the preference of the consumer and the level of market share that they have currently.
José Rito: And on the cost efficiency that they are recurrent. My question was if all the impact that started in Q1, if we could see additional increases on these efficiencies over the coming quarters? So putting a number for instance.
Ana Virgínia: In absolute terms, José, I can assure you that, yes, of course, it will depend on the top line the way that you dilute it or not. But In absolute terms, you will continue to see the good impact from the measures that were taken.
José Rito: So the second question on Ara. So with this EUR5 million losses in Q1, I think that, that [Indiscernible] that the company is at breakeven in H2. Can you comment please? EBITDA by season and at least in the fourth quarter.
Ana Virgínia: Of course, these are very good signs that the company can post a profitable operation at EBITDA level. But of course, we have to take into consideration that this will also depend on how things evolve even from the epidemiological point of view. So we know and I think that we flagged that in the full year results, we believe it may be possible to post a positive EBITDA, excluding IFRS 16, which was our target. It's possible, but it really will depend on how the country will evolve because, for instance, if there is a massive lockdown again, this will put a lot of pressure on the top line. And of course, this may hamper the possibility of posting a positive EBITDA. But this being said, what depended on the company, particularly on the cost level it was done. So we feel very comfortable with the situation currently in the country. And so we think that it's possible. But of course, we will not compromise on that.
José Rito: And finally, also in Colombia, so Justo y Bueno press reporting that the play is asking for extended time to pay suppliers. So it seems that it is in a fragile situation display, will this player fragile criteria for a possible M&A deal in Colombia?
Ana Virgínia: So as you can imagine, José, it's a good try, but of course, we don't make comments on any M&A activity unless it's concluded. This being said, of course, Justo y Bueno, in some cases, open stores that are very -- or are overlapping our own. So the fact that they are struggling with suppliers, of course, It's something that was in the news. But of course, what we have to think is about the consumers and the way that they are playing. They continue to open stores. So let's see how things evolve. But the question for Ara really and the focus is on making sure that they prepare the best offer with the best prices in a country that is really fragile by the long lockdown measures. So in this case, we will be really making sure that we will go for the consumers. If there is some opportunity in the Colombian market, being Justo y Bueno or others. As we stated in the full year, we continue to believe in the country. We think that there is a huge opportunity in the country that is intact as from the business point of view. And so we will continue to grow. If there is any opportunity in M&A, we may consider it.
Operator: We are taking our next question from the line of Andrew Gwynn at Exane.
Andrew Gwynn: Yes, two questions, if I can. So first, just coming back to offer in the retail tax. Like many of us have been around a long time. It's quite unusual to offset, well, firstly, 140 basis points just to clarify if that is the exact impact in gross margin. So the question is, has any of that being pushed back to suppliers if it refer up the supply chain. The second question comes a little bit back to the comments you mentioned before around the competitive environment in Poland. Your expectation is we would see maybe some price increases as a result of the retail tax. But more generally, are there any kind of bigger changes happening in the competitive landscape? noting, for instance, Tesco's sale to Netto. I'm wondering if we could expect to see any significant changes over the coming quarters?
Ana Virgínia: So on the retail tax, it's slightly below the 1.4 because, of course, then it has different levels depending on the level of sales you are charged by a progressive rate. Nonetheless, as I said, this has a big impact on gross margins. And so if it wasn't really for the cost dilutions that was very significant in Poland. And of course, to that, what I said is that basically, this was driven by the good sales performance and by the mix in margins, not really by a different cost conditions with suppliers. So at this point, this doesn't play like that in the case of passing through in this way. So I think that we can conclude at least in this first quarter, this was really the hard work of the company to really make sure that it's posted the sales allowing to accommodate for this because at gross margins and from the commercial point of view, we didn't had any increase. On the competitive landscape, I would say that it continues to be very competitive. We continue to see a lot of openings by our competitors. So it's not just Biedronka that is opening stores. All the others are really opening stores. And of course, doing their best in terms of the promotion and that is seen even in the prices progression. So what we see really is everyone struggling. The question is that from a relative point of view, Biedronka was the most successful as it was shown in its market share increase. From the Netto Tesco operations, of course, we can expect an improvement because the Tesco operation was basically discontinuing and currently, it's still not seen, but we would expect, of course, some pressure coming also from the fact that there is this consolidation in the market. And some of the players that were performing were not in such a good shape. As they improved, this will put some more pressure in the market. But I think that we never underestimate our competitors. And that is very important to continue to post a good performance.
Andrew Gwynn: And I just come back to a point you made before, a quick point of clarification, really, but what's flat? Is it sort of plus or minus 20 basis points? Is that a reasonable line of, or reasonable set of term loans?
Ana Virgínia: I didn't understand, Andrew. On what?
Andrew Gwynn: So on the guidance or the kind of ambition for flattish margins in Poland and across the business, what do you constitute as flat? I mean down 20 basis points, would that sort of sound reasonable potentially, or when you say flat, you mean pretty much exactly flat?
Ana Virgínia: When I say flat, it is pretty.
Andrew Gwynn: The flat margin, the guidance for flat margin?
Ana Virgínia: Well, usually, we still consider it without the IFRS 16. So I would say that without the dilution of the rents, probably we were talking about a slight decrease in the EBITDA margin as is currently posted with IFRS 16.
Operator: We're taking our next question from the line of Cedric Lecasble at Stifel.
Cedric Lecasble: I have three follow-ups, 1 per region. On Poland, maybe you could give us your view on where do we stand in terms of the country reopening investments, cash and carry, et cetera. So how can things change for food retailers or food retail market? And how do you see potential momentum as investments reopen and new ways of consuming food. That's the first question on Poland. The second one is on -- to come back on your very good margin performance in Portugal, you mentioned positive mix relative to last year, especially in piling had to make this year. Are there some other drivers for this very good performance to avoid deleverage as you did in Q1 in Portugal? And the last one is on Ara. You talked about your cost and efficiency improvements. How do you compare to your main competitors in terms of offer proposition in terms of product range, in terms of private labels in terms of pricing. Could you maybe give a little more color on this?
Ana Virgínia: So on Poland, as I mentioned, the market continues to be very dynamic. And we see, of course, all the competitors opening stores. In the particular case of Biedronka, as you know, in our outlook, have flagged that we are expecting to open at least 100 stores. Part of this in the, let's say, in a more efficient or in a smaller format, around 50% of these stores. So we still expect some growth to come from the expansion and this plays a role together with the like-for-like also in the market share increase. I would say that from the consumer point of view, the fact is that the consumer -- and most of the households continue to increase their income which is a good thing. So as you know, minimum salary in Poland has already increased again. The government is considering to increase the allowances for the kids. So the 500-plus, they are considering to increase it also. So in terms of the income of the consumer, there is no degradation at this point from their point of view. And we see inflation compared with last year also at a lower pace. And so it continues to be a very attractive market from that point of view for food retailers. In this case, I would expect to continue to see openings, not only from Biedronka, but from the other players. I think important here the important here is that Biedronka does include the relevance, and it continues to really make sure that it stays the most competitive in the market and continues to serve the consumers the best way possible and evolving even on its offer on a continuous basis as it has been doing until now, which helped a lot, of course in the gross sales and in the stability of the margins. As to the margin in Portugal, so two main drivers for the margins because, of course, as you know, sales comparing with last year, the progression is not great, but I think that considering the basis, it was a very good and resilient performance. What we think is or what we have to say is that we had, of course, in terms of margin mix, it was better because as we said, Last year, even during the stockpiling, there was a lot of basic products that didn't help with the margin mix. And Portugal also put in place a lot of cost containment initiatives that are now bearing their fruits and allow for a better or an improved margins compared with last year. For the next quarters, what we expect, of course, is a more benign comparable. So we expect to be increasing our sales from last year. And that, of course, will help also to dilute. But we will continue, of course, as we said, to try to control the variables that is up really to the companies, and we are doing that on the cost basis and making sure that we control the cost structure because then when sales appear that makes it very -- or makes it much better in terms of margin in percentage points. On Ara, so we continue to bet in our sales drivers, as we always said, would be our private label. We are talking about private label that accounts around 40% of our sales. And we add the promotions and also a slight enlargement of the assortment to make sure that people can do most of their shopping in terms of foods in Ara stores. This without losing any efficiency on the contrary. This was really something that we pushed for in the last year to really make sure that the company would control the costs and would be protecting the business with a slowdown in the economy and the decrease in the income of the consumer -- in the Colombian families. So on that, we feel quite comfortable with the current cost basis in Colombia. If sales appear, this will mean a profitability in the company at the very short term.
Operator: We're now taking our next question from the line of Michal Potyra at UBS.
Michal Potyra: I actually have just one topic I wanted to ask about, and it's about the cost savings you delivers. That is very impressive, calculated your reduced cost per square meter of roughly 7%. And I'm wondering if you could give us a little bit more color what consisted. So is it mostly labor cost or some other costs you were able to take out? And also as a follow-up, I'm wondering if you could disclose if you have received any kind of public help or any kind of, I don't know, co-funding of the salaries, et cetera, in the period, that would be good to know.
Ana Virgínia: So on the cost saving and assuming you saw at -- in local currency. I don't know if it is really the 7%, but I can check it meanwhile. But the fact is that it was quite impressive, and it was not really on the personnel cost. On this, we have already even with the exception of the bonus that we paid last year in the first quarter. We even increased the salaries already in January, and making sure that we stayed competitive also from the employment point of view because, as you know, the minimum national wage also increased. And so it is not really on the personnel costs that we are making our biggest savings in this particular. But of course, all the other headings from advertising, energy from all that it was possible. And together, I would say that from the personnel cost point of view, the main or the most important driver here is really efficiency. So it's not really the decrease in the salaries, on the contrary. It's the way that we do our processes and the fact that we were able to cope with an operation that it's much simpler and that we are trying really to make it even more simpler, not only from the supply point of view, but even on the shop floor, with all the initiatives that I mentioned. So in terms of automated forecasting and replenishment in terms of trying to have direct link to suppliers and have an automated approach to invoicing, et cetera. So to make sure that we save not only from the logistics point of view, but even from the administrative point of view. At the shop floor, what you see basically is that we, of course, are extending the self-checkouts to more stores to make sure that we have more places and more cashiers and POS point of sale for the consumer to use and to make it faster and more convenient at store level. In terms of public help, in our main businesses, there was no decrease in salaries or any contribution from the state. There was a small contribution in HeBe that -- so not in Biedronka But in HeBe. There was some part time in this company.
Michal Potyra: And anything in Portugal?
Ana Virgínia: No, nothing in Portugal.
Operator: We are taking our next question from the line of Maria-Laura Adurno at Morgan Stanley.
Maria-Laura Adurno: My questions actually are very much familiar to some of the ones that we've already had, but just [want to] speak a little further. With respect to the margin resilience that you achieved in 1Q and continuing on the gross margin front. I was just wondering if perhaps you could just give examples of initiatives that you put in place and coming back to some of the questions, whether this is something that we could see as de-initiated being something that is structured in the space? And the second question, so your basket inflation [ opponent ] was in negative territory. But just wondering and coming back to some of the comments you made about the competitive environment and the positioning you want to have for Biedronka, are you seeing any signs of inflation coming back? And if so, in which category? And then the third question that I had, you had previously mentioned that you would be interested to potentially make an acquisition outside of Poland. Just wondering where your latest thoughts on this?
Ana Virgínia: The line was quite bad. So just to confirm on the first question, we thought your question regarded the gross margins?
Maria-Laura Adurno: So basically examples of measures we put in place to achieve cost savings, that was point number one. Number two, are there any categories where you're seeing early signs of inflation coming back in Poland? And number three, thoughts on M&A.
Ana Virgínia: So on the costs, as I mentioned, the idea is really to put in place some efficiency measures and, of course, also to look at all the cost categories and see how we can take more benefit out of that. We are talking about energy, so energy saving, advertising, so not decreasing advertising but making sure that we use the best means with lower prices. And then on the efficiency level for the operations, I'm talking about a direct automated relationship with suppliers at the supply chain point of view, the self-checkouts. This all provides more ways and more convenience, as I said, for the consumer without having to put more people in the stores. And this, of course, helps when it comes diluting the costs in terms of sales. On the inflation, so as you said, we posted, in fact, in all banners deflation at the basket levels this quarter. And the 1.3 was the deflation in Biedronka. What I would expect is, of course, some pressure from the fact that some cost factors, prices are increasing, not only the salaries but also some raw materials. So I would expect, of course, some increases or some pushing in increases for the prices to be back. Currently, we are benefiting from a comparable base, which particularly on products relevant like meat, the prices last year were very high in the first months of the year. So that will tend, of course, to dilute throughout the year. So I would expect from the country's point of view that there will be some extra pressure for inflation. But currently, we are not seeing that because that is compensated partly by the very competitive environment with food retailers. On the acquisitions, so we always said that we would be or having the ambition to expand and to take advantage of the procurement basis of Poland and of its sourcing capabilities. Currently, we said it was a little bit on hold due to the pandemic. But this being said, of course, we are not going to disclose much more on that front.
Operator: We're taking our next question from the line of António Seladas at AS Independent.
António Seladas: So my question is related with your performance in Poland, Biedronka sales performance. So over the last 4 quarters since the pandemic started, you clearly outperformed the market and gained market share. My question is, do you think that you would keep this -- we will be able to keep this performance if the economy of Poland returns to normal life. So apparently, you benefit with lockdown measures. So what were the points what were the point that over the last four quarters, you were able to benefit from it. And do you think that Now that the economy should start to return to normalize life will be tougher for you to keep market share gain as you did in the last four quarters.
Ana Virgínia: So we don't hide that we think we benefited from some of the lockdown measures and from the fact that consumers prefer to continue shopping in proximity. But this being said, it was a benefit that we really was deserved because if we hadn't acted not only in making sure that we would provide convenience, that we would provide and extended opening hours and we would continue to craft and design all the promotions and all the adjustments in the assortment to cope with what the consumer needs, we wouldn't have been having this performance. So I don't think it's just the fact that people are, of course, eating more at home or not eating at the schools. It's really the fact that Biedronka was there for the consumers, was one of the first to really make sure that it protected their consumers and our teams and our employees. And that was very relevant. The rest, of course, was a continuous improvement in the offer and continue to make sure that the consumer had access to all the best products with the best price in the market, and that helped a lot. So I would say that it is possible to continue to outperform the market. It will demand a lot of work for the company, but this is what the company plans to do to continue never underestimating the competition, but continue to be very competitive and continue to serve the consumers. And once they have been shopping at the stores and we've even gained some new consumers with the pandemic, we believe that they liked what they found in our stores, and they will continue to come. So in this case, if we continue to provide a better offer, we will be able to continue also to outperform the market. So I think it's possible, but it will give us a lot of work, but I think we are prepared for that.
Operator: There are no further questions on the line. Please continue.
Ana Virgínia: So thank you all for your questions and for attending this conference call. With Q1 behind us, we are now entering a period where comparisons are against the performance already affected by the COVID-19 pandemic. Despite the ongoing uncertainty, our strategic focus will stay unchanged. All our banners will take the necessary actions to grow and to deliver on their efficiency projects to protect profitability. And our people, our consumers, our suppliers and the communities that we serve will remain at the core of our priorities. Thank you once again, and I wish you all a nice day.